Operator: Good morning. Welcome to NetSol Technologies Second Quarter 2023 Earnings Conference Call.  On the call today are Najeeb Ghauri, Chairman and Chief Executive Officer; Roger Almond, Chief Financial Officer; and Patti McGlasson, General Counsel. Please note, this call is being recorded. I would now like to turn the call over to Patti McGlasson, who will provide the necessary cautions regarding the forward-looking statements made by the management during this call. Please proceed.
Patti McGlasson: Good morning, everyone, and thank you for joining us. Following a review of the company's business highlights and financial results, we will open the call for questions. I'll now provide the necessary cautions regarding the forward-looking statements made by management during this call. Please note that all the information discussed on today's call is covered under the safe harbor provisions of the Private Securities Litigation Reform Act.  The company's discussion may include forward-looking statements reflecting management's current forecast and certain aspects of the company's future and our actual results could differ materially from those stated or implied. These forward-looking statements are qualified by the cautionary statements contained in NETSOL's press releases and SEC filings, including our annual report on Form 10-K and quarterly reports on Form 10-Q. I would also like to point out that we will be discussing certain non-GAAP measures. The press release issued earlier today contains a reconciliation of these non-GAAP financial results to the most comparable GAAP measures. Finally, I would like to remind everyone that this call will be recorded and made available for replay at www.netsoltech.com and via link available in today's press release. Now I'd like to turn the call over to Najeeb. Najeeb?
Najeeb Ghauri: Thank you, Patti, and good morning, everyone. We've made a lot of strategic progress this quarter, which I look forward to sharing with you. That said, our second quarter financial results were not where we wanted them to be. There were various reasons for this, some within our control and some outside of our control. First, it's important to understand that in the second quarter last year, we had $3.5 million in onetime revenue due to onetime cumulative catch-up on a large contract, which impacted our comparisons. Second, approximately $2 million in revenue that we expected to realize in the quarter was delayed, and we expect to realize it in the third fiscal quarter. With this lower revenue, our margin and profitability were below our expectations. As such, we have reexamined our cost structure to not only better align it with today's revenue, but also reprioritize our capital allocation to the most attractive parts of our business with the greatest opportunity to drive sustained growth in revenue and profitability. We expect to at least $4 million in cost cut of the business by the end of the fiscal year. In short, we will be more focused company better positioned to achieve a return to positive cash flow for our shareholders. Before we get into the details of the quarter, let's keep a few things in mind. Number one, we have a hard fought market-leading position in Asia, a growing market share in Europe and a unique opportunity to grow in the U.S. Number two, the higher margin recurring revenue portion of our business is doing well, and there's opportunity for it to do better. And three, we are at the front end of some of the most innovative technology for our clients. For example, we were ahead of the curve on integrating AI and machine learning into our customer products and are laser-focused on delivering this to our customers. And four, our balance sheet is rock solid with a competitive advantage of a strong cash position built from good old-fashioned cash generation. We have every intention to get back to positive cash generation and have a clear plan to get there.  We are focused on expanding our presence in the North American market, particularly in the U.S., which is our most vibrant market. We are very excited about the opportunities we are seeing for our products and services in this region. For example, Otoz or mobile, AI and machine learning-based solution has emerged as a very attractive product in this market, and we continue to develop and evolve our product range to specifically target North American customers. We're also growing our partnership with consultant, system integrators and tech partners, including Amazon Web Services and a Tier 1 automotive company through Otoz that will further help to scale our North American operations. During this quarter, we went live with our 37th dealer, and we now have dealers in 16 states. Our sales pipeline remained strong at an increase to $250 million in the second quarter. The sales cycles can be very long in our business, particularly for some of the larger deals, but we are enhancing our positioning to compete for some of these larger deals and quite optimistic about many of the opportunities we are pursuing. Before I provide a more in-depth overview of our business, I'd first like to turn the call over to Roger Almond, our CFO, who will walk you through our financials for the quarter. Go ahead, Roger.
Roger Almond: Thanks, Najeeb. Turning to our fiscal second quarter 2023 financial results for the period ended December 31, 2022, our total net revenues for the second quarter of fiscal 2023 were $12.4 million compared with $15.5 million in the prior year period. On a constant currency basis, net revenues were $14.6 million. License fees were $15,900 compared with $1.9 million in the prior year period and were $16,200 on a constant currency basis. Recurring revenue or subscription and support revenues were $6.5 million compared with $9.4 million in the prior year period. The decrease in total subscription and support revenues for the second quarter of 2023 was primarily due to the recording of approximately $3.5 million as a onetime cumulative catch-up in the second quarter of 2022 due to our amendment to our 10-year contract with Daimler Financial Services. On a normalized basis, excluding the onetime cumulative catch-up in the same quarter of last year, we actually saw an increase in our total subscription and support revenue for the quarter on both a GAAP and a constant currency basis. Total services revenues were $5.9 million compared with $4.1 million in the prior year period. On a constant currency basis, total services revenues were $6.9 million. Services revenues derived from services provided to both current customers as well as services provided to new customers as part of the implementation process. Total cost of revenues was $9.3 million for the second quarter, an increase of $1.4 million from the second quarter of fiscal year 2022. On a constant currency basis, total cost of revenues was $11.3 million. Gross profit for the second quarter of fiscal 2023 was $3.1 million or 25.4% of net revenues compared to $7.6 million or 49.4% of net revenues in the second quarter of fiscal 2022. On a constant currency basis, gross profit was $3.3 million. Operating expenses for the second quarter were $6.2 million or 50% of sales compared to $6 million or 38.7% of sales in the same period last year. On a constant currency basis, operating expenses for the second quarter were $7.2 million or 49.4% of sales. Turning to our profitability metrics. For the second quarter of fiscal 2023, we had a net loss from operations of $3 million compared to net income from operations of $1.7 million in the prior year period. On a constant currency basis, the net loss from operations was $3.9 million. Our GAAP net loss attributable to NetSol for the second quarter of fiscal 2023 totaled $2.1 million or $0.19 per diluted share compared with GAAP net income of $1.4 million or $0.13 per diluted share in the second quarter of last year. On a constant currency basis, our net loss attributable to NetSol totaled $2.7 million or $0.24 per diluted share. As always, it's important to point out that included in our net loss this quarter was a gain of $657,000 on foreign currency exchange transactions compared to a gain of $901,000 in Q2 of last year. On a constant currency basis, we realized a gain of $827,000 on foreign currency exchange transactions. Because we operate in several geographical regions, a significant portion of our business is conducted in currencies other than the U.S. dollar. A decrease in the value of the U.S. dollar compared to foreign currency exchange rates generally has the effect of increasing our revenues, but it also increases our expenses denominated in currencies other than the U.S. dollar. Similarly, as the U.S. dollar gains strength relative to foreign currency exchange rates, it tends to reduce our revenues, but it also reduces our expenses denominated in currencies other than the U.S. dollar. We plan our business accordingly by deploying additional resources to areas of expansion while continuing to monitor our overall expenditures, given the economic uncertainties of our target markets. Moving to our non-GAAP metrics. Non-GAAP adjusted EBITDA for the second quarter of fiscal 2023 was a loss of $1.3 million or $0.12 per diluted share compared with non-GAAP adjusted EBITDA of $2.1 million or $0.19 per diluted share in the second quarter of last year. Please see the reconciliation schedules contained in our earnings release for our revised calculations of adjusted EBITDA for the quarters ended December 31, 2022 and 2021. Turning to our balance sheet. At the quarter end, we had cash and cash equivalents of approximately $21 million or approximately $1.86 per diluted common share. The NetSol stockholders' equity at December 31, 2022, was $44.4 million or $3.93 per share. That concludes my prepared remarks. Now I will turn the time back over to Najeeb for an overview of our business updates. Najeeb?
Najeeb Ghauri: Thank you, Roger. As I mentioned earlier, we are implementing cost reduction initiatives that we believe will drive efficiency and better align our resources. We expect that our efficiency measures will at least -- will add at least $4 million in EBITDA in the next fiscal year and accelerate our bet to return to profitability. Perhaps the most exciting component in our growth strategy right now is our expansion into the North American market. This market represents a robust growth opportunity for our business, particularly as we exit the coronavirus pandemic, which created accelerated demand for modernization and digitization in the industry. Specifically, we are seeing demand related to customers that required a digital entry point to their financial services provider and employees who are certainly shifted to remote work and acquired the ability to digitally provide financial services to customers. As a result, our core customers, financial institutions, automotive and equipment OEMs and automotive dealers realize that their IT infrastructure needed to adapt to these changes and our products are ideally suited to meet their needs. Moreover, the increased demand for cloud-based services has positioned our NETSOL Cloud Services division to capture increased market share as we support both new and existing customers in modernizing their IT infrastructures. To that end, Otoz offerings continue to see excellent traction in the United States, which illustrates the power of NetSol's commitment to innovation. Since last quarter, Otoz has expanded its U.S. presence to include 37 dealers across the 16 states, showcasing the healthy and growing demand for SaaS and AI-based platform in this region. Additionally, in the second quarter of fiscal 2023, we entered into a new multimillion dollar agreement with a Tier 1 automotive company in the United States, which will implement and license our Otoz Mobility Solution to manage back-office operations for vehicle subscriptions. Otoz penetration in the U.S. has been an excellent catalyst for our growth in this market, and we are further accelerating our expansion by investing in our partnerships with consultants, system integrators and other technology partners. In the second quarter, we were pleased to expand our partnership with Amazon Web Services, or AWS, and became an API gateway delivery partner. We expect this partnership to position NETSOL to expand our cloud capabilities by providing us with a fully managed service with developers to create, publish, maintain, monitor and secure application programming interfaces at any scale. Finally, we're making good progress, establishing a support and delivery system center in Austin, Texas, which is quickly becoming a hotspot for tech businesses in the U.S. This planned location is expected to accommodate a sales and support staff, which will accommodate a number of people in the coming months. Now let me talk about -- finally talk about APAC and Europe region. Our business in the Asia Pacific and European markets continue to provide stable and reliable revenues. In APAC, our revenues decreased compared to the second quarter of 2022. However, this is our largest and most established market and with the progress that we continue to make on our multiyear, multi-country implementation roadmap, we are confident that we are positioned for sustainable positive results in this region. Our European operations provide us with more growth opportunities as compared to APAC, where we are already established as a leading provider of finance leading software in the region, our cloud-based and SaaS offering continue to gain traction in the European market. Contributing to our recurring subscription and support base revenues, which we believe represent a very attractive opportunity for NETSOL going forward. Our second quarter revenues in the European market increased slightly compared to the prior year period. We anticipate that through a combination of our cloud-based and SaaS offering and the implementation of NFS Ascent for a major Scandinavian bank across 4 countries in 2024, we are well positioned to deliver improved results. In summary, while our second quarter results were not where we wanted to be, we are enthusiastic about the value-driving initiatives underway. We are making significant progress executing our strategy to grow in the U.S. We are initiating a cost reduction plan that will cut over $4 million out of the business while not impacting key growth areas such as the U.S. Our technology partnerships and technology offerings continue to grow. And finally, with strong market share and a healthy balance sheet, we have a very strong foundation upon which we wish to build on. And with that, we can open the call for questions. Operator?
Operator: [Operator Instructions]. Our first question comes from the line of Todd Felte from AGES Financial Services.
Todd Felte: A few times during the call, you referred to your market-leading position in Europe. I was wondering if you could give us kind of an estimate of your percentage of market share in Europe, Asia Pacific region and the North America.
Najeeb Ghauri: Okay. Thank you for asking this question, Todd. As you know, this market is very fragmented in all the 3 regions. And it's very difficult to -- there's no, I think, any kind of monitoring or engaged to see what exactly is the market position. Nevertheless, the way we look at it, we've been in Europe since 2005 with office in Horsham [indiscernible] we have a sizable team there. We've been securing new contracts like the one we announced recently bought a Scandinavian bank. This is a new account, and there are many other progress in this area. I believe in Europe, we are growing our market share because we can see the number of companies operating as a competitor, and we have been invited in most of all the opportunities in RFPs, and we are participating in a lot of different new bids in the European market. APAC, in China, we are the leading company, still maintaining our leadership position. The way you look at it in the OEM, multinationals and leasing finance companies, according to CBRC, which is a regulatory authority in Beijing, China, we have been the leading company with a number of contracts we have. So by far, we are in a very strong position in China. Overall, in APAC, we still believe we're still in a leading position. Again, it's very hard to say what the percentage is but we can -- our position in Japan, in China, in Australia, in New Zealand and other markets in the APAC is very strong. So we're pretty comfortable. And as I mentioned in my comments, that our China market will continue to ramp up exactly because we have added a new vertical in -- to cater to the local Chinese market, which we call it professional services. And our head of the operation, Amanda Li has a very bullish program plan to promote this new offering, which means we hired about 45, 47 new employees in China in the last 6 months, all Chinese local to go towards a local Chinese companies and whether they're in auto sector or truck sector or whatever, there's opportunity for us to grow in the professional services on a very impressive daily rate. Now coming to your question on the North America. North America is the most exciting thing happening for us and simply because, yes, we have not seen the results as of this quarter. But the reality is this, we are now over 1.5 years, We brought in a few very senior executives into this market, including Peter Minshall and few others. What are we noticing here, in our core business, which is Ascent, flagship Ascent and mobility, we have signed one major contract. I'll share the name AutoNation, household name. We just announced that about a couple of months ago. In addition to that, we are pretty much in all the major opportunities RFPs. we mentioned a billion sales pipeline. It's mostly in the United States. Now the U.S. strategy is by design. We're now investing because we realized that we've done enough in the APAC market, and we don't want to invest too much more other than a onetime investment in China. But in U.S., this is the time despite the fact other economies are struggling, U.S. economy is still strong. So we're investing in a new office in Austin, Texas. That will be our hub for the U.S. customers and U.S. market. I believe given the activities for last 12 months, yes, sales cycle is very long. But at the same time, the values are also pretty attractive. So we believe this second half, we're pretty confident that there will be good progress. I can give you the timeline. And as you know, our business is lumpy and you cannot guarantee the results. We are leading candidates in a couple of major opportunities, maybe the top 2 now. So we're excited. We are fully committed about the U.S. market, and we believe this is the market, which will change the total landscape of this company in the coming quarters and coming years. So we're investing in this market, and we believe this is the right thing to do.
Todd Felte: Okay. I mean when I look at the 30,000-foot view, I see that we've hired on over 500 employees in the last few quarters. Our revenue has decreased last few quarters. But our sales pipeline has gone, I remember, it was under $200 million. Now we're at $250 million. So when we do finally have this breakthrough, do you expect the revenues to jump from $12 million? Are we going to start having $20 million, $25 million quarters, given that our pipeline is $250 million? And it's -- when can we see this occur, it's just a little frustrating that salaries and consultant expenses have now grown to over 50% of revenue. So we've got all these new employees on, and we're kind of hoping that the dam breaks, so to speak, and we see this jump in revenues. And I was hoping you could kind of add some color to that.
Najeeb Ghauri: Todd, I really understand your frustration. And I think I recognize not just you, but all the investors, they really to me that they should see the real results and you could have an impressive ROI eventually at some point. The color on the hiring of the people, I think I'll give you 3 categories. And look, in the COVID period, things were really tough. You know the story. Everybody was going to the same thing. And now we are way over a year beyond the COVID pandemic. And what we have done is, there are 3 key areas that we added as a new additional verticals to grow revenue. We don't want to depend completely on the flagship Ascent. It is a long field cycle. You want to go into some more digital mobility platform, where you have more sales opportunities, more higher sales volumes. Now, AWS is one area. We hired almost, what, 75 or 80 people in the last 9 months. And we're investing them in their certification and the training and there's doors opening up. And that's brand-new investment within like 6 or 9 months. And so we hope to see some results and there's a lot of activity going on. Second area is the professional services. China is the key right now where we really invested in. We've never invested so much in the local Chinese sales force or team specialized in the professional services. What it does is that -- this is a time, I believe, to invest in growing the business in different verticals, which is linked to FinTechs and our core business. So China is another place we're investing. And of course, in the U.S., we will continue to bring people from across our company globally and hire local. You can imagine the magnitude and the size of the U.S. market. We believe the reason we are late in the market because we have now enough implementations of Ascent, particularly in China, and the 12 markets of Asia Pacific and some now in Europe. What it does is it has given us a much better ability to position ourselves on a multimillion dollar projects because we have experience in the Chinese market with large OEMs like BMW and Daimler Financial Services. These are top-notch names. And these are great reference point to position ourselves to bid for the local U.S. customers. In addition to not just this core business that we're trying to position ourselves where the pipeline is, we're on cloud building our SaaS revenues, mobility. So there's a lot of action in a lot of front and you see the numbers, you're right, we have added 450 to 500 people. But at the same time, this exercise -- I'm actually in Lahore right now from the last 2 weeks. We started this exercise few weeks earlier before this quarter ended is to find ways to be more efficient company, to be more leaner, to be more productive. And the reason is we had to put a lot of bench. I mean, the numbers I just mentioned, this is the largest bank we ever had in our history is simply because these are new opportunistic verticals. And we believe strongly about that we can really do a good job given that our experience as an IT company and now FinTech, we have the ability to reach out to larger customers and show them that we can build a new opportunity in the U.S. market, not just our main business, but the new opportunity like AWS and professional services and so forth. So I think these are investment driven. It's tough. We watch our cash very carefully. We watch our hiring. And now we're in the process aggressively to at least take out 20% of the headcount and the more efficient company. The numbers I just mentioned. My goal is to at least a $4 million improved bottom line in EBITDA and in the net income. So these are hard decisions, but they are a tough decision. Given the environment we are in, there's inflation everywhere, there's issue everywhere. You mentioned rightly this is, we have to maintain our -- the core team in Lahore and other offices around the world to make sure that we don't lose them because of high inflation, everybody is at least a middle class that is suffering. So we do whatever it takes to not lose our good employees, bring fresh new people to build investment for the future in the U.S. So I think these are all the right points for us data point to make sure that not only we grow the revenue in the coming quarters but also become very profitable gross profit and the net income.
Todd Felte: Okay. If I was trying to model this out, given the $250 million backlog, given the long sales cycle and also given all the exciting opportunities you just discussed, I mean a year from now, are we hoping to be doing $20 million to $25 million in revenue a quarter? Or is that too optimistic? Or is the growth going to be...
Najeeb Ghauri: It's not too optimistic. You're right on the money, it's not too optimistic. It is actually our own wish and goals to achieve those double the numbers. And I think when we talk about these high pipeline, look, I'm sure you're familiar -- I don't know how much you understand how long the field cycle in our kind of business. We're not all the shell company which has ready to make these customers spend days, weeks, months and narrowing shortlisting from 10 to 5 to 3 to now 2. I'm giving just a generic example. And now some of them want to visit Lahore, which is where you could sign. One of these deals or 2 of these deals in the next 6 months can hit the number that you're talking about, I'm pretty confident. One way to look at is our current revenue is pretty stable. Because this quarter, you didn't see any growth, and we obviously could not recognize at least $2 million in the Q2 because the timeline but the deal was signed and this is based in Australia and I think we can recognize that in the Q3. But the real excitement is the big deal we are working day and night. I mean Patti follows through with these customers and go through all these detailed legal agreements. So that means that across the globe. U.S. people sitting in Lahore or doing the calls day and night with these customers, 30, 40 at a time from other side and our side. So it is a very, very active office in Lahore right now. I'm here, and I can see that. So -- and then we need some good luck also. But we excite you, we're not missing any opportunity. And we not -- we like to turn the corner. I mean we know we have disappointed the market. I admit that. But sometimes you don't have a lot of control and you do your best and you think you're going to make it and then it's going to get delayed or something called to happen. So we are very confident, we will have some new contracts in the coming months that will change our numbers dramatically.
Todd Felte: Okay. Well, that's great to hear on the potential upcoming revenue growth. I hope you keep us all informed and announce some of these contracts and revenue as they come in, and I'll get off the call. I've taken enough of your time and I thank you for answering the questions.
Najeeb Ghauri: You are always welcome, Todd. Thank you and have a good day.
Operator: [Operator Instructions]. Our next question comes from the line of [indiscernible].
Unidentified Analyst: First one, could you just provide a little more insight concerning the timing of the implementation of the $4 million in cost reductions? Will this be immediate or implemented over the balance of the year?
Najeeb Ghauri: We have started the process a few weeks ago and it really work in progress with our HR and our -- each head of departments have their been giving the targets to implement these across their division or the department and the companies. So I think the timeline is you'll see some value -- tangible value if not in the third in the fourth quarter by the time you have some severances and timeline, all that happened. But the real, I think, benefit will be in the fiscal 2024, beginning of 24, which is about 2 quarters from now.
Unidentified Analyst: Got it. Okay. And then just to make sure I'm understanding. So will the efficiency measures impact your strategic investment in the U.S.? Or are they mostly focused on other parts of your business?
Najeeb Ghauri: No. U.S. is the one we're investing actually. We are very lean, both in my U.S. operation in North NTA, North America, and our corporate team is very lean. Actually, we're also downsizing our U.S. corporate offices to a bit more leaner instead of investing in the business side of it. Now we will be investing in people, in infrastructure, travel back and forth. So that is really I see and everybody knows and my team and the board. This is where the big opportunity in the U.S. market. And I'm very, very bullish in the U.S. simply because I know what is happening in Europe, this struggling a lot more than U.S. U.S. has the ability to control the inflation, they can control inflation in the European market. China is a bit better, but other parts of APAC are already struggling. Despite of that, I believe the U.S. is the only place we feel it is the market for us, and we'll put all our best talent, more energy and financial investment to get some penetration in this market and see on real results that we've been working for many, many years. The U.S. will continue to be investing and nothing will reflect in the U.S. as the investment continue.
Unidentified Analyst: Okay. Great. And then just my last question. So you mentioned AI and machine learning in your offerings. Just wondering if you could provide a little more color around how this technology is implemented into your solutions.
Najeeb Ghauri: Well, AI is very popular worldwide, as you know, in our business, customers are benefiting from our different modules. So we implemented AI in machine learning into offerings on a case-by-case basis, depending on the need of the customers. Our algorithm is capable of identifying risk on application during the valuation process for lease or loan. And to that end, we are able to train our people and specific data provided by the bank or financing companies and so forth. So I think there's lots going on in this new tool that is becoming one of the hottest tool right now in all the developing and technology sector. So I am confident that AI will be a leading force in many, many ways to help our customers build into the product and make the product more quick and efficient. And of course, is what it's supposed to do is to create a different model altogether in this company. So customers are going to benefit very aggressively because we are in it. We've hired some couple of MIT PhDs, and we brought them to our facility in Lahore, and they're playing a big part in building this for our customer basis. So it's a very good thing happening for the company.
Operator: Thank you. At this time, this concludes our question-and-answer session. If your question was not addressed during the Q&A session, please contact NETSOL's Investor Relations team by e-mailing them at investors@netsoltech.com or by calling them at 949-574-3860. I did now like to turn the call back over to Mr. Ghauri for his closing remarks.
Najeeb Ghauri: Thank you for joining us today. I especially want to thank our investors for their continued support, our loyal customers and our most dedicated employees for their ongoing contributions. We look forward to updating you on our next call. Operator?
Operator: Thank you for joining us today for NETSOL's Fiscal Second Quarter 2023 Earnings Call. You may now disconnect your lines.